Operator: Welcome to the Xylem Third Quarter 2020 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] I would now like to turn the call over to Matt Latino, Vice President of Investor Relations.
Matt Latino: Thank you, Samantha, and good morning, everyone, and welcome to Xylem’s third quarter earnings conference call. With me today are Chief Executive Officer, Patrick Decker; Senior Advisor and former Chief Financial Officer, Mark Rajkowski; and Chief Financial Officer, Sandy Rowland. They will provide their perspective on Xylem’s third quarter results and our outlook. Following our prepared remarks, we will address questions related to the information covered on the call. I’ll ask that you please keep to one question and a follow-up and then return to the queue. As a reminder, this call and our webcast are accompanied by a slide presentation available in the investors section of our website at www.xylem.com. A replay of today’s call will be available until midnight, on November 30. Please note the replay number is 800-585-8367, and the confirmation code is 7096699. Additionally, the call will be available for playback via the investors section of our website under the heading investor events. Please turn to Slide 2. We will make some forward-looking statements on today’s call including references to future events or developments that we anticipate will or may occur in the future. All references will be on an organic or adjusted basis unless otherwise indicated. These statements are subject to future risks and uncertainties such as those factors described in Xylem’s most recent Annual Report on Form 10-K and in subsequent reports filed with the SEC including in our Form 10-Q to report results for the period ending September 30, 2020. Please note that the company undertakes no obligation to update any forward-looking statements publicly to reflect subsequent events or circumstances, and actual events or results could differ materially from those anticipated. Please turn to Slide 3. We have provided you with a summary of our key performance metrics including both GAAP and non-GAAP metrics. For purposes of today’s call, all references will be on an organic and adjusted basis, unless otherwise indicated, and non-GAAP financials have been reconciled for you and are included in the appendix section of the presentation. Now please turn to Slide 4, and I will turn the call over to our CEO, Patrick Decker.
Patrick Decker: Thanks, Matt. Good morning, everyone, and thank you for joining us. I hope all of you and those close to you are keeping safe and well. As reflected in our release this morning, our third quarter performance was better than anticipated. The teams’ operational execution was strong right around the world. You’ll recall that after the low point of April, we saw sequential improvements in May and June. And we continue to build on that positive trajectory through the summer. Our team took advantage of the market regaining pace and exceeded our revenue and margin guidance for the quarter while generating very strong cash flow. This performance reflects the teams’ focus on serving our customers and managing what we can control, whatever the dynamics are of the macro environment. Through the quarter, we saw solid foundations of recovery in a number of places. And we’re well-positioned to further capitalize on that momentum. The pandemics impact hasn’t been uniform of course, conditions varied significantly both by geography and by end market. For example, China revenue returned to healthy growth of 17%. Western Europe overall was back to relative stability at 2% growth. The U.S. saw only slight recovery still dealing with pandemic response and coming in at down 11% although improving sequentially. In our end markets, we’ve seen ongoing resilience in the wastewater side of utilities and our wastewater solutions returned to solid growth in the quarter. On the clean water side, we’re delivering strong commercial momentum, including winning large long-term transformational metrology deals, leveraging our differentiated platform, particularly in advanced metering infrastructure. In addition to big wins with Anglian and in Winston-Salem, which we mentioned last quarter, the team recently won another marquee project in Columbus, Ohio worth $94 million. This customer is a combined utility meaning we will provide both water and electricity meters plus advanced software and services. It’s worth noting how compelling our value proposition is for combined utilities, addressing both water and energy applications with one portfolio and leveraging our unique FlexNet communication capability across both platforms to achieve economies of scale. The Columbus, Winston-Salem and Anglian deals have together added about $0.25 billion to Xylem’s backlog. Our metrology and communications offerings are clearly differentiated in their own right, but we also have the advantage of delivering unique value by combining infrastructure platforms with complimentary digital solutions. Each value proposition enhances the other. As anticipated COVID impacts are causing delays in some metrology projects where timelines have shifted to the right. And in parts of the U.S. replacement meter installations have been pushed out in the short-term. Pipeline assessment services of business that requires putting people on site has been affected by COVID driven restrictions on travel and field work. At the same time, the pace of interest in digital solutions for remote monitoring and automated operations have accelerated. The pandemic has not only spot lit essential services. It has also eliminated utilities need for much greater operational and financial resilience, which is now at the top of every utility operator’s agenda. Digital transformation has gone from being attractive to becoming an imperative and that’s reflected in strong quoting activity and our digital solutions business, which has also increased by 50% its number of revenue generating clients. The revenues are still a small part of our top line, but the acceleration of interest further strengthens our view on digital adoption in the sector. And as the number inside of this project growth, we are seeing a broadening scope of opportunities across software, services and infrastructure products. What we don’t expect this to be a straight line recovery Xylem is well-positioned irrespective of how the pandemic plays out. We anticipate quarter sequential improvements. Our financial health and liquidity are both strong. We’re successfully reigning in cost, executing the actions we announced earlier this year. And we’re shifting investment to adapt quickly to customer’s evolving needs and new ways of working. Our supply chain has been exceptionally resilient with the team keeping customer supplied even through the pandemics peaks. So we’re operating with discipline, strengthening our competitive position and helping our customers serve their communities with uninterrupted essential services, despite whatever macro uncertainty may persist. As Matt mentioned at the top of the call, both Mark and our new CFO, Sandy Rowland are with us today. Sandy joined us on October 1 and it’s been a great pleasure to welcome her to the team. But since Mark was in the chair through the end of the reporting period, he will carry the commentary on our third quarter performance. So Mark over to you.
Mark Rajkowski: Thanks, Patrick. Please turn to Slide 5 and I’ll cover our Q3 results in more detail. Revenue declined 7%, which was better than anticipated as we entered the third quarter. We had strong performance in our wastewater utility businesses in the residential end market both of which grew mid-single digits in the quarter. The return to growth in these markets was offset by the expected declines in our metrology project deployments and industrial and commercial businesses, which continue to be impacted by project delays and site restrictions. Geographically, as various countries have reopened and recovered, so has our business. In China for example, we saw very strong performance with double-digit year-over-year growth. Despite the China business returning to pre-pandemic growth rates, emerging markets overall declined 7%. India was down only modestly while the Middle East in Latin America declined double-digits, they continued to be impacted by shutdowns throughout the quarter. Across North America, recovery remains mixed. While revenues improved quarter sequentially, they were down year-over-year. While our wastewater business remained resilient, we continue to see timing effects on metrology deployments and softness in industrial markets. Western Europe grew 2% in the quarter as countries reopened in activity resumed with revenue growing in each of our end markets with the exception of industrial. We also saw operating margins expand quarter sequentially to 13%, which drove EPS of $0.62 both better than expected. I’ll cover the margin impacts by segment shortly. Overall, our teams maintained very sharp focus and executed well operationally by driving strong productivity and cost reductions. Please turn to Slide 6 and I’ll review third quarter results by segment. Water infrastructure orders declined 5%. Order trends in our wastewater utility businesses continued to be solid. Treatment orders were up 20%. Wastewater transport orders down 9% for the quarter would have been up mid-single digits, but for lapping the large deal we won last year in India. Orders in the industrial end market were soft due to double-digit declines in our de-watering business. Long-term backlog continues to build as we’re up over 30% for backlog shippable in 2021 and beyond. Segment revenues declined 2% in the quarter compared to the prior year. This was better than anticipated and reflects the resilience of utility spending to run and maintain their wastewater operations. Our wastewater transport business grew 4% in the quarter. And we saw continued strength in our treatment business, which grew 3% in the quarter. The growth in treatment reflects what has been to date, the relatively uninterrupted deployment of wastewater CapEx projects. The de-watering business experience continued softness. Revenues declined 14%, most of which was in the North American construction and industrial markets, which have seen – which have been significantly impacted by site closures and access restrictions. Operating margin in the quarter was 18.5% down modestly year-over-year from higher inflation, lower volumes and unfavorable mix. However, the margin performance exceeded our expectations as the team strong execution on cost reductions and productivity initiatives delivered 630 basis points of margin expansion. Now please turn to Slide 7. Orders in the Applied Water segment declined 1% in the quarter and revenues declined 4% as softness in the industrial and commercial markets continued, particularly in the United States and the Middle East. The commercial end market declined 5% in the quarter. As a reminder, this business is roughly two-thirds weighted towards repair and replacement work, which held up relatively well in the quarter despite shutdowns in some regions. Industrial was affected by similar regional dynamics, including site access restrictions and declined 7%. A bright spot in the quarter was residential, which grew 4%. We saw particularly strong growth across Western Europe and from China. Overall, emerging markets declined 8% in the quarter. China had a very strong performance growing 23% as the team executed well, delivering on pent-up demand. This was more than offset by the declines in the Middle East in Latin American regions due to the ongoing lockdowns. Revenue in the United States declined 6%, but improved quarter sequentially with some softness across end markets driven by continued virus impacts. Operating margin in the segment was 15.9%. Volume declines and inflation impacts reduced margins in the quarter, but were largely offset by 530 basis points of cost reduction and productivity benefits. Now please turn to Slide 8. Measurement and control solutions orders declined 19% in the quarter and revenue declined 15%. We saw project timing significantly impact our metrology business. And COVID-19 restrictions push out our project revenues in our pipeline assessment services business. In metrology, we’ve seen relative stability in our OpEx replacement business from water metrology products. As a reminder, our OpEx exposure accounts for about 70% of our revenues. We’ve seen much more variability in the 30% of our metrology business that’s tied to large project deployments or CapEx, particularly in our gas segment, where project revenues were down 60% in the quarter. Here, we’ve been significantly impacted by project timing, particularly from lapping a large gas metrology project deployment, which was largely completed at the end of last year and delays in another large gas project this year due to home access restrictions. Despite, these challenges, our underlying North American water metrology book-and-bill business has remained relatively stable and commercial momentum in winning new projects remains robust. This is highlighted by the large contract wins we had in the first half of the year and continued into the third quarter with the Columbus, Ohio and Winston-Salem, North Carolina wins. Patrick already covered Columbus, but I’ll quickly highlight a couple of important points on the Winston-Salem win. This is a $60 million contract to provide water metrology products under our network as a service offering, leveraging our FlexNet communications network. Importantly, our teams differentiated the value of our offering by introducing several components from our digital solutions platform, enabling our customer to also seamlessly address critical needs around non-revenue water and their wastewater network. Our pipeline assessment services business has also been subject to significant near-term delays in project revenues, driven by COVID-19 travel restrictions and site closures. As a reminder, there are two businesses within AIA, digital solutions and pipeline assessment services. It’s in the latter business, where we’ve experienced deferrals pipe inspection work. And we expect those push outs to continue into early 2021. As a result, we booked an accounting charge reflect the impacts of those delays. We continue to strongly believe that the medium and long-term value proposition of this business is compelling. Particularly, as utilities move to address budget challenges by using pipeline assessment services to reduce future spend on pipe replacement. We expect the project timing for deploying new metrology projects and the COVID-19 related delays in pipeline assessment services to continue to impact us through the fourth quarter. This is reflected in our fourth quarter guidance, which Sandy will cover later, as shippable backlog for the fourth quarter is down roughly 25%. That said, it’s significant that we’ve not had any project cancellations. Rather, we’re seeing an acceleration of growth in our project pipelines and we continue to win large new contracts. As a result MCS shippable backlog in 2021 and beyond is up over 30%, which is a pretty good indication of the power we’re seeing with our digital platform. So while these projects aren’t currently reflected in the orders metric, they are the latest in a series of important wins that give us confidence in the medium and long-term growth profile of this segment. EBITDA margin in the segment was 14.8%. Year-over-year margin decline was driven by lower revenues of high margin North American metrology and pipeline assessment services, due to project timing and COVID-19. This impact was partially offset by 630 basis points of cost reduction in the quarter. Now please turn to Slide 9 and I’ll cover our cash flow performance for the quarter. We ended the quarter with approximately $1.6 billion of cash and short-term investments and $2.4 billion of liquidity driven by a very successful green bond issuance last quarter, combined with our strong cash flow performance throughout the year. In the phase of substantial challenges presented by the pandemic, I’m very proud of the work of our teams in managing all aspects of our working capital performance. At quarter end, working capital was 20.3% of sales, representing an improvement of 30 basis points versus this time last year. The teams focus on working capital, disciplined CapEx spending and cost control through the quarter have continued to pay off, enabling us to generate free cash flow of $234 million. A conversion rate of over 200% in the quarter, which did see some benefit from favorable timing on payments, primarily related to taxes and interest. Before I turn it back over to Patrick, I’d like to take a moment to congratulate Sandy and welcome her as she steps into this new role. Having worked with Sandy previously, I wasn’t at all surprised by how quickly she’s come up to speed on our businesses in our markets and the pace with which she’s developed relationships, all virtually and taken on the leadership of the global finance team over the past month. I couldn’t be more confident about the future of Xylem or in Sandy’s capability to help Patrick and the team accomplish our mission and take the company’s performance to the next level. So with that, I’ll hand it back to Patrick for the last time.
Patrick Decker: Thanks, Mark. Before turning to our outlook, I just want to take a moment to reiterate two overall trends we’re saying, as we look forward. The first is the influence of regional differences around the world. As you’ve heard, we’ve already seen big distinctions between China, Europe and the U.S. in the third quarter. So long as the impact of COVID-19 continues to influence demand, we believe those geographic effects will be considerable through at least the end of the year. Xylem’s global diversification puts us in a strong position as we serve the international markets that are farthest along in the recovery curve. It’s worth noting for example, that about 70% of our wastewater business is outside the U.S. The second overall trend to highlight is a shift of attention from reactive operational imperatives to medium and longer-term resilience. The pressures utility space at the beginning of the pandemic are well-known. You simply can’t stop providing an essential service, even if you’re struggling to [indiscernible] and more end users than usual or having trouble paying their bills. Our customers have come through the most intense part of the crisis, serving their communities heroically. It’s also been a wakeup call for the sector. Utilities leaders and operators have become acutely aware of the pressing need to invest in greater operational and financial resilience. Part of that investment will go to conventional infrastructure that will have to be combined with new approaches, if utilities are to address their overarching challenges, making the cost of infrastructure more affordable, extending asset life and dramatically increasing labor efficiencies while maintaining safety. So we’ve seen interest continued to ramp up in digital transformation, remote monitoring, automated operations and smart infrastructure more broadly. Of course, the implications of digitizing utility networks goes deeper than software platforms and our digital solutions business. Beyond software and end points, transformation also requires the digitally enabled pumps and drives that make up the backbone of a smarter network, which is why we are implementing an integrated digital strategy across our entire portfolio. We’re very excited about the opportunity of working with our customers to build the digital water and energy networks that will carry their communities into the future. Turning from those trends to outlook. In general, we have a much clearer view on Q4 than we had on Q3. We’re seeing stabilization in a number of markets. We have even greater supply chain confidence and we’re executing well on cost. All of which leads us to expect quarter sequential improvement in margins. So by end market, I’ll start with our outlook for utilities. The wastewater side has been exceptionally resilient. We expect OpEx to continue holding up well, given the need to serve as mission critical applications. And capital projects with secured funding continue to move forward. On the clean water side, as I mentioned, we have strong commercial momentum with multi-year projects like Anglian, Winston-Salem and Columbus, setting us up for healthy growth in 2021 and beyond. In the short-term, we expect performance trail wastewater due to more pronounced COVID impacts, but we’re not seeing structural changes in demand and the growth profile of the segment is expected to remain highly attractive. We simply anticipate some continuing COVID impacts on deployment timing. And standard meter replacements are likely to remain soft until physical distancing eases. Please turn to Slide 11. Looking at industrial and commercial end markets, the accessibility of industrial sites varies widely by region, where COVID response has lagged. There have been site access restrictions and work has been deferred. So we’re still anticipating softness to the fourth quarter, especially North America construction and industrial markets affecting our dewatering business. And in commercial, it’s a mixed picture that varies by end customer. Demand and hospitals, data centers and apartment buildings, for example, is very different than for offices and hotels. But less building use overall and soft North America construction suggest continued softness in the near-term. Now I have the great pleasure of turning over to Sandy for the first time, so she can provide some more specifics on our Q4 guidance.
Sandy Rowland: Thank you, Patrick, and hello everyone. I just want to kick off by expressing how excited I am to have joined the Xylem team. I joined Xylem because of the unique combination of strong commercial opportunities for growth and the compelling mission of the company. Xylem is also complimentary to my previous experiences, which has included bringing together cutting edge technologies with industrial products. I spent the last month getting up to speed with the team alongside Mark and I look forward to all we have ahead of us rounding out 2020 and beyond. With that, let’s get into a few more details on our fourth quarter guidance. On the top line, we expect organic revenues in the range of down 6% to down 8%. This is a modest improvement in sequential performance versus the third quarter. As we break it down by segment, we anticipate being down low single digits in Water Infrastructure, down mid single digits in Applied Water and down mid-teens in Measurement & Control Solutions. Reflecting the project deployment delays, we’ve continued to see through October. Operating margin in the quarter is expected to be in the range of 13% to 13.5% also a modest quarter sequential improvement. I also want to highlight a few full year items. We expect to end 2020 with free cash flow conversion of greater than 100% for the full year. Restructuring and realignment costs are now expected to be between $75 million and $85 million, slightly lower than our previous guidance, while structural annual cost savings remain unchanged at approximately $70 million. We’re lowering our estimated tax rate this year to 18.5% to reflect our updated mix of earnings. Before I hand it back to Patrick for some closing comments, I want to again, thank Mark for his guidance during this transition. Having worked with Mark before, I know he and I bring similar perspectives and share a common approach to operational excellence and driving investment in innovation to support sustainable growth. Mark has built a great team and I’m confident we have the organizational capability to focus to deliver. Now, please turn to Slide 13.
Patrick Decker: Thank you so much, Sandy. It’s great to have you on the team. Just to wrap up before turning the call over to your questions, the team continues to demonstrate strong operational delivery. And that will enable us to capitalize on recovery everywhere, it’s happening through the end of the year and beyond. And we will execute from a position of competitive strength, even in the more challenging environments. Our discipline on cost and cash will continue to pay off, both in the coming quarter and through 2021. Looking ahead, that quality of operational execution will enable us to continue driving sustainable margin expansion. Our robust financial health, which gives our customers confidence that they can rely on us in uncertain times is built on the foundations of a strong balance sheet and cash generation. Our leading market positions are paired with a differentiated product portfolio and a durable business model at the heart of essential services. And our strategy places Xylem and the lead as the water sector’s digital adoption curve accelerates, providing a multi-year runway of attractive growth. We will deploy capital to continue strengthening our portfolio, investing in the solutions and services that anticipate our customers’ needs. Both the economic and the social returns of those investments will be attractive over the medium and long-term. And our commitment, great value for all our stakeholders will continue to underpin the sustainability and resilience of our company, our customers and our communities. We’re now going to move to your questions, but first I need to mention that although Mark will be advising us through the end of the year, this is his last earnings call. So let me take this opportunity to say once again, as I’ve said before, that all of Xylem stakeholders have benefit profoundly from Mark’s leadership and tenure at Xylem, but none more than me. As I have benefited tremendously from his counsel. Thank you, Mark. And with that, I’d like to turn it over to your questions. So operator, please lead us into Q&A.
Operator: The floor is now open for questions. [Operator Instructions] Thank you. Our first question is coming from Scott Davis with Melius Research.
Scott Davis: Okay. Yes, just a bit of a bad connection, perhaps, but anyways. Are you guys surprised if you can hear me, of course? Are you surprised by – okay, good. Are you surprised by the negative price the extent of it? I can’t remember a quarter or you had this big of a cost price dislocation. So perhaps maybe dig into that a little bit more.
Mark Rajkowski: Yes. Hey, Scott, it’s Mark. The price overall for the company in the quarter was 50 – up 50 basis points, so we continue to drive price. A lot of the inflation has been labor related and we had some very strong price increases over the past 18 months. And some of this is reflective of the demand profile in the market. So we continue to look to drive for price and get value for the products and services that we rendered, but it’s – we’re doing it all within the context of the current competitive environment.
Scott Davis: Does that mean, Mark, you’re seeing pretty our tougher price in the rental markets. Two, we’ve heard some competitors say, it’s actually been pretty stable this quarter. So I was curious to see what your view is…
Mark Rajkowski: It’s competitive in the rental market for sure. Again, some of that’s a function of the demand profile. And but that’s not – it’s not the only market. We’re seeing it in a number of areas, but our teams are out there being very thoughtful and certainly where there are opportunities to push on price, particularly where we’re differentiated they’re doing that.
Patrick Decker: Yes. I would say, Scott, this is Patrick. Price has not really been a concern of ours. It’s not really been a meaningful change in trajectory. Obviously, we’ve been thoughtful during the pandemic, but there’s no structural change here in terms of how we feel about price in the market. And I would say that, especially for us, we really focused in on engineered solutions versus commodity oriented offerings and where we have the more engineered solutions, we’ve built those into our base business, but also knew our contracts. And that pricing has remained a constant, in other words, we’ve not gone back and renegotiated contracts. We haven’t had people coming back to us asking for changes in pricing, given the pandemic that’s been very stable.
Scott Davis: Okay. That’s super helpful. Thanks. I’ll pass it on. Thank you. Good luck guys.
Patrick Decker: Thank you, Scott.
Operator: Our next question comes from the line of Deane Dray with RBC Capital Markets.
Deane Dray: Wish Mark all the best and thanks for all your help.
Mark Rajkowski: Thanks, Dean. Yes, you got cut off there a little bit. You’re a little choppy there, but I heard the last part of it [indiscernible] wanted to hear.
Deane Dray: Yeah, let me just say it, again. It just was also the welcome to Sandy. And appreciate all the color here this morning. This is the first question, and this is an important part of the theme for Xylem. Is this accelerated interest in smart water systems by the utilities? We also do water conference in September. We heard that directly from the utilities that we’re all saying this, you got to win in Columbus that’s impressive. So Patrick, the big question is how did this interest in quote activity start to translate into orders? We are seeing traction here, but if you can maybe give us some size, what the quote activity is, what the expectation is around the timing.
Patrick Decker: Sure. Yes. Thanks Deane, and good morning. So yes, as we mentioned that at your conference, and I know many of the utility leaders spoke to this. And as I mentioned in my prepared remarks, the utility leaders all that I’ve spoken to this. This has really been one of the silver linings of the pandemic as the amount of time that I’ve had with these leaders by Zoom and other platforms is they really – they have moved from a number of beads digital solutions being a nice to have to imperative. And just to reinforce, as I miss in my comments, the drivers behind that are the whole issue of them dealing with issues of how do they manage their assets remotely. How do they manage their workforces remotely? They are very much focused, especially, post-pandemic on this issue of portability. So and again, I remind everyone that only 30% of our utility exposure is in the U.S., it’s a very different kind of funding and economic dynamic outside of the U.S., whether it be in China and India or Europe. But here in the U.S., 70% of their funding comes from – 70% of their spending is on OpEx. And that comes from their existing rate base. When you think about the remaining 30%, which is CapEx that comes from new rate cases that need to be justified. So on the base case, on the OpEx, they’re looking for ways to reduce the operating expense, to extend the asset life of those assets, to do remote work. On the CapEx side, it really is about making those new projects affordable. So they can get rate cases approved. So anything that we’re able to do to reduce the cost of that new CapEx and make it more affordable is going to be even more important to them as they come out of the pandemic. In terms of – what we’re seeing in terms of proof points, we’re seeing that we’ve had a 50% increase in the number of clients. That’s one. We’ve seen in north of a 20% uptick in orders. So there is conversion there in terms of orders off of a small base, but a growing base. These typically are from the time that we get an expression of interest and we’ve seen a big uptick there, of course, with the 50% increase. It’s about a 12 to 18-month conversion on the digital side from – going from an expression of interest into – turning that into an order and then into revenue. But secondly, what I would say, most importantly here, Deane, is that it’s not just the digital component. It’s the broadening, it’s the opportunity that gives us to broaden the scope of deals that we would otherwise be negotiating. So some of the AMI deals on the metrology side, we would not have won them, if it were not for digital offering that we bring in compliment to AMI. That’s as important as actually going in and leading with digital and then pulling through AMI or also on the wastewater pumping side, the treatment side. So the synergies here from a pull through standpoint, go two different directions. It can be – we leave with digital, we help the utility, understand where their needs are. And then we bring in solutions behind that on the hardware and networking side, but it can also be where we’re already in there negotiating on the hardware side and the digital comes in over the top and differentiates us versus others. So that’s where we see the biggest opportunities going forward. And the expression of interest right now is absolutely accelerating based upon the economic challenges that the utilities are facing.
Deane Dray: That’s great to hear. And then just to clarify, I knew it was like a year ago, the focus was on pilot programs. And it sounds to me, some of those were revenue generating. But are you waiting for any of the pilot programs to convert to orders and where does that stand?
Patrick Decker: Sure, certainly. I mean, when we say that there is a 50% increase in client acquisition. Those are predominantly speaking to pilots. And so we continue to see pilots increasing now. I want to be clear, when we say pilots, these are revenue generating pilots. We’re not giving these things away. And I would say that again, that balance of interest is as much outside of the U.S. as it is inside of the U.S. So we’re seeing big uptick in China, India, Europe and then certainly equally as much in the U.S.
Deane Dray: Great. And I just had a follow-up question for Mark. Just didn’t want I think he was getting off easy. Decrementals were touch weaker than what we were expecting, and I’m just trying to bridge that difference. And did that include the charge that came through on the pipe inspection or just help us understand decrementals and then what you’re expecting for the fourth quarter?
Mark Rajkowski: No. That was on an operational basis. Now are you talking about Q3 or the Q4 outlook?
Deane Dray: Q4 outlook.
Mark Rajkowski: Yes. Yes. And so some of that is just a function of mix, okay, so we’re continuing to see impacts in several of our lines of business, whether it’s dewatering, whether it’s some of the pipeline assessment work or in senses that our metrology deployments that are higher margin that are most impacted from a mixed perspective in the fourth quarter.
Deane Dray: Got it. Much appreciated. Thank you.
Patrick Decker: Thank you, Deane.
Operator: Our next question comes from the line of Nathan Jones with Stifel.
Nathan Jones: Welcome to the team, Sandy, and best of luck, Mark. It’s been a pleasure getting to know you over the last few years.
Mark Rajkowski: Yes, same here. Thanks, Nathan.
Nathan Jones: I’d like to dig into MCS a little bit more here. You have a large domestic meter competitor, who put up some double-digit growth in the third quarter and was probably more bullish on the outlook. Less concerned about kind of project delays that you were talking about here today. I know you have other lines of business and a lot more international things going on in here. It sounds like the pipe inspection businesses is one of the worst ones. Could you may be digging a little bit more to the different pieces of MCS. What you’re seeing specifically on the domestic water meter business and how that outlook progresses
Patrick Decker: Nate, good morning. This is Patrick. So first of all, I think when you look at the – let’s take the metrology piece of the business first, which is opposite the lion’s share of M&CS. Because I think we can take digital solutions off the table. It’s trending very well, for the reasons that I expressed to Deane earlier. We’ll come back to pipeline assessment in a moment. Obviously, there we’ve had challenges in terms of site access. It’s not been an issue in terms of level of interest. The orders are there. The work is there. It really is literally a matter of getting access on the site, given the nature of the work that’s done there. So back to metrology, which is, obviously, the Sensus business there again on the, that kind of 70% to 80% of our business there of that revenue is again basically meter replacement. The day-to-day kind of installation of replacement meters. That business was down low to mid single digits in the quarter. And that largely was again, site access restriction, a big chunk of that and differentials between us and maybe others. Some are similar, some are different from a competitive standpoint. It really depends largely, where you are geographically. And so we’ve got a heavier presence in some of the larger metro areas, certainly here on the East Coast, where there’ve been tighter COVID restrictions and perhaps parts of other – the rest of the country. So we were down low to mid single digits in the Q3. We expect that business to be up low single digits in Q4 as site restrictions begin to ease, like, obviously, that depends upon this kind of next wave of the virus. So we keep our eyes closely on that. But right now in our assumptions, we expect that to begin to recover and see growth in Q4 and certainly into 2021, where it normalizes. It really the piece in Sensus that hit us in Q3 was the capital projects. These large deals that we won and executed last year, so one, we have a tough versus last year. Two, this year, we had some of the projects that we had already won. Think about fairly water, very large project, $100 million project. That has been shifted to the right. It’s not been canceled. It’s simply a matter of site access. And so we do see that coming back in Q4 and certainly into 2021. It’s also when you look at the – we had some delays in some of our gas project implementations, again, because of COVID. So a number of these projects that are pandemic related are still there. They’re going to be executed. They’re simply a matter of shifting out to the right, because of timing of being able to get people on site. When you look at, we also had – when you look at the backlog that we’ve got. Our shippable backlog for the metrology business for 2021 and beyond is up 30%. So this is not an issue of projects being canceled or projects being deferred with uncertainty, it’s simply a matter of site access. And so we’re very confident about that. When you think about the wins that we’ve got and Winston-Salem, Columbus, et cetera. That really speaks to the health of the market overall. The dynamic competitively is simply the fact that we have a larger project orientation of our business, because of the AMI deals that we’re winning versus a base meter replacement business.
Nathan Jones: I think that makes a lot of sense, and I would have expected you guys to have a higher share in more densely populated areas, where your site access could be different. All of the folks that we’ve talked to on the utility side have said that, the non-revenue water pipe assessment projects and the made a deployment are likely to really go unaffected. If you take it over a few quarter kind of timeframe, which would suggest to me that all this is doing here is really creating pent up demand. It’s going to be released here over the next couple of quarters. And should probably really all get caught up in 2021. This is not shifting permanently to the ride, it’s shifting the front end to the right, but the back end should be fixed.
Patrick Decker: That’s exactly what we’re seeing, Nate, and that’s exactly what I’m hearing from the utility leaders that I speak to is when you think about the long-term structural demands in the water sector around the issues of affordability of water, whether it be at the macro level, meaning at the rate case level, whether it be affordability at the end user, meaning a household owner. Those issues are becoming even more prominent, because of the pandemic, whether it be scarcity of water on the clean water side, whether it be the resilience of their infrastructure. What we’re hearing from the utility leaders is that it’s becoming even more prominent for them, coming out of the pandemic. The issue is simply depending upon where you’re looking around the country, because this really is more of U.S. phenomenon, the geographic differences are stark in terms of the approach to the pandemic.
Nathan Jones: I think that all makes a lot of sense. Thanks for the color.
Patrick Decker: Thank you, Nate.
Operator: Our next question comes from the line of Ryan Connors with Boenning & Scattergood.
Ryan Connors: Great. Thanks, Mark. And welcome, Sandy. My question, a bit of a bigger picture question. One of the kind of discuss the utility market from a different angle, in terms of the municipal utilities versus the investor owned utilities. I know, if you listen to the investor owned utilities, since this thing is a hit, they’re really now talking up the outlook for privatization, saying, that some of these more stressed local systems are really coming under financial strain, and that’s an opportunity for them to really accelerate their acquisitions and expand. And so I wanted to get your take on that theme, in terms of, A, remind us of your current customer mix between those two groups and how they compare in terms of pricing and margins and that sort of thing. And then B, are you seeing that, do you see that? And if so, would that be a good thing, a bad thing indifferent? What’s your take on that privatization angle here?
Patrick Decker: Sure. Yes. Great question. So certainly as you obviously will know the whole privatization debate has been going on for quite some time and it’s a quite contentious view within the utility space. And it’s always harder for the private utilities to do the consolidation than what they would certainly like. But we certainly see that has been a trend that is accelerating for the reasons that you mentioned in terms of some level of economic distress in the sector to be transparent. The private utility portion of our revenue is certainly far less than the public as you well know. And while we love our public owned utilities and we’ve got a great share there across the board. When – typically, we find that when utilities are privatized, it does become a slightly bit easier negotiation, because it’s then become – it comes down a bit more to basic fundamental economics, returns on investment. It’s easier to sell longer-term solutions into them, based upon the paybacks and financial benefits. That’s not to say that on the public side, it’s the exact opposite. That’s just – it’s a mix of utilities in terms of how they think about that. But we see that, Ryan, very much as a positive trend for us over time. But again, I wouldn’t want to parse between public and private as to whether one is good or the other one not. And I know you’re not suggesting that.
Ryan Connors: Sure. No, that’s understandable. But no, that is useful perspective. My other question is a little more tactical, but you mentioned residential as a tailwind in Applied Water and your release in your slides there, that’s not a market. You normally talk a lot about it and there was material enough that, that you did put it in there pretty prominently. Can you just remind us of what exactly you’re doing there and sort of the outlook and what the real materiality is there?
Mark Rajkowski: Yes. Hey Ryan, it’s Mark. And you’re right. That has not been a recent highlight. And but the business has done a really nice job in really upgrading, improving their product sets there. And the – what we’ve seen is that as more folks have spent more time at home, working from home. They’re spending more money on those homes, including well pumps and other products that, that they need to maintain them. So there’s been really strong growth, not just in Europe, but we’ve seen some pent-up demand in the Asia-Pacific region. And even in the U.S., we’re seeing improvements and expect that to continue into the fourth quarter. So it’s a function of just one of the impacts of the pandemic, but also importantly some nice improvements that our team has made to our product sets in that area.
Patrick Decker: Yes. So I would just add that, I think that again, this is Patrick, I would say to compliment what market indicated there, the team has done a great job of enhancing some of the product offerings. And we continue to build out that pipeline. But I would say this is a predominantly a short-term phenomenon. We don’t have a different look over long-term as to what you should expect from a growth standpoint in that business. I mean it really is kind of a low-single digit, kind of GDP, kind of business. In this quarter, it was predominantly driven by growth – outsize growth that we saw in Europe and in China that really spiked the numbers. And that was really the reason we called it out.
Ryan Connors: Got it, okay. That makes sense. Thanks so much.
Patrick Decker: Thank you.
Operator: Our next question comes from the line of Joe Giordano with Cowen.
Joe Giordano: Hey guys.
Patrick Decker: Hey Joe.
Mark Rajkowski: Hey Joe.
Joe Giordano: Just wanted to keep going on the digital side here. I don’t think anyone’s really debating the how valuable those types of technologies are long-term to utilities. I think the value proposition is pretty clear. But when we were just recently serving utilities, we got a pretty clear response that like near-term those types of digital and technology investments were being de-prioritized, because of necessity and where they have to spend money. So like what are your thoughts on push outs or anything like for capital projects that are maybe signed, but not shows in the ground yet like, it seems like that stuff has more risk of being pushed like more meaningfully outward. Just kind of what are you seeing there?
Patrick Decker: Sure, Joe. So I – again I – as you know, I’m always prone to do here. Let’s first talk global. So again 30% of our utility exposures in the U.S. versus outside of the U.S., and so this is a global phenomenon, and we’re seeing even more, I’d say outsize interest in the emerging markets that’s the first point. Two would be in North America or specifically in the U.S., what we’re seeing there is, as we’ve indicated, we always view these projects as being, you do a pilot, it’s a 12 to 18-month conversion from the pilot into orders and revenue. And the way that we’ve structured these arrangements, where we’re leading with purely digital, where our team goes in, and they’re doing a diagnostic, a consultative diagnostic with the utility, that that whole thing, I mean it’s not a high cost venture for the utility. It’s to help them understand what are the needs they’ve got, where do they spend the next dollar of capital or OpEx going forward. And that helps inform them on how they can manage their OpEx and CapEx needs more effectively. And those situations, when we talk about pull through, that’s always going to be a 12 to 18-month kind of horizon. And we’ve got proof points of those already in hand. The other approach to selling is where a team is going in most notably when it’s an AMI metrology deal. And it’s a competitive bid and we’re able to overlay unique digital solutions, whether it be meter optimization, whether it be adding on leak detection where it’s a non-revenue water solution, these are the kinds of things that can oftentimes help us seal the deal. That’s the proof point there is the $0.25 billion of deals that we’ve gotten over the last quarter or two, where absolutely the digital piece of the offering was a proof point that helped secure that deal. So these are not high cost items for a utility as it relates to purely the digital component. It’s as much an enabler for them as they go forward. But no doubt in the immediate term, there are utilities that have had to make tough choices between the wastewater side, the clean water side is just a nice to have versus a need to have. We see that momentum accelerating. But as we said before, this is still a relatively small piece of our revenue and the opportunity is all in front of us.
Joe Giordano: Yes, I think that’s fair. Last question from me, just I’m pure and yes, I understand that this is like the most on, no one could have kind of budgeted or thought of what’s going on now. But we’ve had over the last few years write down to basically half the investment now. So just curious as to how that kind of informs the capital deployment decisions going forward and how you kind of evaluate new potential targets?
Patrick Decker: So I will – let me take that one first, Joe, and I’ll have Mark kind of walk through kind of the thinking behind the write down of additional goodwill, et cetera. Strategically our view on this business is we remain very bullish on this business. Again, when you think about the needs, the utility has around reducing their non-revenue water, a big part of that is leak detection. And so everything I’ve heard from the utilities I’ve spoken to is they absolutely see that as being essential, but right now again, it is site access. And when they have to – when you think about the nature of the crews that we deploy around basically brand name appear, the crews that we deploy there are traveling across state lines. They’re very technical. So we have to deploy them broadly. There are basic what’s – the requirements of being sequestered when you’re traveling state lines, I mean they’re very practical aspects of stalled of our workforce right now that nobody could have possibly imagine coming into this. But the fundamental needs remain the same. When you think about the fact that only – that market is only been penetrated by like 3% of the need, all that opportunity is in front of us. And it’s going to be even more essential coming out of the pandemic than it was before because of the whole affordability angle. I’ll let – so there’s no fundamental change in view on this business. In our view, in terms of how attractive it is. I’ll let Mark talk about kind of the accounting drivers behind why there was a second impairment on this.
Mark Rajkowski: Yes, I mean – and I know you’re in a trained accountant by background. So you get all. This is really a function of as Patrick said, a significant temporary delay in the expected revenues to our pipeline assessment services business. So it’s more of a push out to the right by a couple of years. And when you look at this business, the margin – the gross margin profile of that business is greater than 50%. So really rich gross margins. So when those revenues push out, it’s – it has a big impact on the discounted cash flows used is determined the fair value of the business. And you’ll also – when we did our first write down last year about a year ago, you write that down to, you’ve reset the fair value and that’s fair value is based on these future forecasted revenues. So you really don’t have a lot of headaches. So when you see a shock like this from the pandemic, it has an impact in terms of the accounting. And as Patrick said long-term – medium-term, long-term opportunities in this business, we remain very positive.
Patrick Decker: And Joe, we take our nature on these things, whether it be from an accounting standpoint or an outlook perspective is we take a conservative approach on this. I mean we want to make sure that we’re write down the middle of fairway. We’re not going to move things around. And so we – the team felt it important at this point in time, given the shock of the pandemic on this particular business, most notably given its still based services aspect, that this was a – it was a responsible thing for us to do, but no change in strategic view on the assessment services business.
Joe Giordano: Two you, and Sandy look forward to it. Thanks guys.
Mark Rajkowski: Thanks.
Patrick Decker: Thanks, Joe.
Operator: Your next question comes from the line of Andy Kaplowitz with Citigroup.
Andy Kaplowitz: Hey, good morning, guys.
Mark Rajkowski: Hi Andy.
Patrick Decker: Good morning.
Andy Kaplowitz: Patrick, you mentioned that your utility businesses more international than the U.S. So it was good to see Europe returned to growth and China was obviously very strong. But can you give us more color into your thinking about these regions going forward? Have you seen any curtailing of the momentum you recently had in Europe given the virus resurgence. Maybe any more color would be helpful.
Patrick Decker: Yes, it’s a great question. And thanks for the international thing given that the largest piece of that, that market for us. The – so we certainly – we just continue to see momentum building in Asia. And we feel, I mean, obviously who knows, I can’t prognosticate on the pandemic and where cases are going to resurge, et cetera. But certainly within Asia, we have no reason to have any concerns either in Q4 or going into 2021 based upon what we see right now, if anything, the pent-up demand, we got hit first earliest in Q1 and in Q2 because of our weighted exposure in China and India. And our teams have proven very resilient there as has the market. So that that’s agent, we would expect that to have now returned to pre-pandemic levels. With respect to Europe, obviously we like all of you are monitoring case count. We’re seeing what’s happening in the resurgence here for the last few days. There is uncertainty there. We feel that our guide for Q4 is a balanced guide, obviously, if there was disproportionate shock to the system that needs to be kind of factored in to our outlook for Q4. But our teams have been managing through this pandemic and the complexity of the pandemic for several months now. And one of the most important things that we’ve learned is really making sure that we have a resilient and robust supply chain. And it’s not just us, but the suppliers around us in the ecosystem. And so we don’t believe that there is a near-term meaningful impact on our business in the quarter around that. But there is uncertainty there. And so we want to make sure that we continue to monitor that, but it really is too early to tell at this stage. So we think we’ve taken a balanced approach to the quarter.
Andy Kaplowitz: Thanks for that, Patrick. And then just can you help us think about this probably for Mark or Sandy, the structural cost savings that you’re focused on and how that can manifest itself beyond Q4? I mean you already mentioned decrementals are still a little high in Q4 versus normal, but as you go into 2021, would you expect to see improved decrementals and/or incrementals given the level of cost out that’s ramping for you?
Mark Rajkowski: Yes. And this is Mark. And the – for a couple reasons, one, we’ll see some ramping in terms of the structural costs into 2021.
Patrick Decker: Cost savings.
Mark Rajkowski: Cost savings, yes. And yes, cost savings. And then it’s early to call, but when you think about the costs that were going to be coming off and as we move through into 2021, that additional volume will certainly play well relative to the what will then be incrementals.
Andy Kaplowitz: Thanks, Mark. Appreciate it.
Mark Rajkowski: Yes.
Patrick Decker: Thank you.
Operator: We have time for one final question. Your last question comes from the line of Brett Linzey with Vertical Research Partners.
Brett Linzey: Hey, thanks for squeezing me in guys. Hey just wanted to circle back to…
Patrick Decker: Good morning.
Brett Linzey: Yes. How you’re doing? And yes, Mark, congratulations on the retirement, and best of luck to Sandy. But just want to start with MCS.
Mark Rajkowski: Thank you.
Brett Linzey: Encouraging to see better engagement on the software and SaaS side, but just wanted to understand the profitability and monetization of that. Should we think of those opportunities as sort of an MCS average margin out the gate and then something that scales over time or does it kind of lower in the initial part of that contract? And any color you can give us in terms of how those contracts will work once they’re executed. Thanks.
Patrick Decker: Sure. So I’ll take it first. This is Patrick. Yes, no, the projects that we’ve announced here, the deals that we’ve talked about these would be accretive. These would not be – this is not one of those where you make a big, huge investment of margin upfront and that it pays back later. These are accretive to the market – to the segment margins. And so and that’s a big part of the attractiveness of the deals is the value that we are selling to the utility. And the payback it gives to them in terms of immediate revenue generation gives up the ability to really price it appropriately and protect ourselves from a future pricing kind of pressure once they’re locked in, they’re locked in. And we start making really, really attractive margins in the very offset. Mark?
Mark Rajkowski: Yes. I mean they’re all – those are – those recent wins are our water deals and they’re very profitable. And the service and software part on top of that makes them even more attractive in their longer-term.
Patrick Decker: Yes. So typically the way these contracts would work is there’s going to be depending upon the number of we call them end points, but then the number meters that are being installed. The metrology itself is very profitable. And then as those get installed, you layer on the ongoing monitoring piece of the contract, the data analytics piece of that contract, and the AI wrapped around that. Those are then kind of your SaaS margins that you would expect going forward. And those have a long tail again can be anywhere between 10, 15 years of revenue tied to these. It’s a smaller piece of the contract. But even the large piece of the contract, which is meters is very attractive.
Brett Linzey: Okay, got it. And then just one follow-up on the cost targets. Are we still thinking $80 million as structural for 2021? And then just trying to put a finer point on some of the moving cost items within 2020 in terms of temporary, the employee support costs and what that looks like in terms of the netting of kind of headwind or tailwind as we get into next year.
Mark Rajkowski: Yes. And I’ll jump in. And the in terms of both the OpEx and the some of the costs that we’ve incurred this year, I mean listen, we’ve learned a lot in terms of working through the pandemic and we’re going to be driving hard to keep – we found ways to keep these costs out, right. And so we’d expect to be able to continue to maintain those efficiencies based on the learning. Secondly, the – in terms of the support costs in other payments that we’ve made this year, certainly assuming we move through this, that will be some tailwind as well.
Patrick Decker: Yes. I would just punctuate it by saying that, we’ve – so the permanent structural savings that, that Sandy alluded to in the prepared remarks, we don’t see any give back on that, that’s – that should be locked in for 2021. So again you’re talking about roughly $80 million of kind of ongoing savings there. And to Mark’s point on the discretionary items, yes, I mean we like pretty much every other company. We started early on the discretionary side. We have $60 million of discretionary savings that are there. How much of that comes back. We’re still in the planning process. But as Mark said, we’ve learned a lot. We’ve learned how to do a whole lot more with a whole lot less, becoming more efficient, effective, whether it be travel, remote working, making sure that our service providers and suppliers are doing the same thing. So our teams have gone back and renegotiated contracts there. And lastly, making sure that our own approach to work is aligned with what our customers are doing. And they too are – have pulled back significantly on their own discretionary costs in terms of people working from home, et cetera. So we’re still working through that, but we’re leaning in in a big way. So I wouldn’t expect a lot of that to come back. There will be some, no doubt, because you always have some levels inflation on your wage and salaries, et cetera. We’re going to do the right thing by our workforce over time, because we did take some very swift and aggressive actions on our head count during this pandemic. So we’re going to remain disciplined and agile and what is otherwise an uncertain environment.
Brett Linzey: Great. And just to point of clarification on the structural cost savings, so that the $70 million in 2020 and the $80 million in 2021, that’s an incremental $80 million versus an incremental $10 million. Is that correct?
Patrick Decker: Yes, yes.
Brett Linzey: Okay, okay. Got it, all right. Thank you so much.
Patrick Decker: Thank you.
Operator: Ladies and gentlemen, we have reached our allotted time for Q&A. I would like to turn the floor back over to Patrick Decker for any additional closing remarks.
Patrick Decker: Thank you. So again I want to reiterate where I started that is I really hope that all of you and the people close to you are safe and healthy. Make sure you stay such. Really appreciate your continued interest and support. Thanks for joining the call today. And we’ll be back in touch soon. Thank you all very much. And we won’t speak to many of you at least as a group until after the holidays. So have a very safe and happy holiday season.
Operator: Thank you. This does conclude today’s Xylem third quarter 2020 earnings conference call. Please disconnect your lines at this time and have a wonderful day.